Operator: And welcome to Cerence's first quarter of fiscal year 2025 conference call. Before we begin, I would like to remind you that this call may involve certain forward-looking statements. Any statements that are not statements of historical fact, including statements related to our expectations, estimates, assumptions, beliefs, outlook, strategy, goals, objectives, targets, and plans, should be considered to be forward-looking statements. Cerence Inc. makes no representations to update those statements after today. Statements are subject to risks and uncertainties which may cause actual results to differ materially from such estimates, as described in our SEC filings, including the Form 8-K with the press release preceding today's call, our Form 10-K filed on November 25, 2024. In addition, the company may refer to certain non-GAAP measures, key performance indicators, and pro forma financial information during this call. Please refer to today's press release for further details of the definitions, limitations, and uses of those measures, and reconciliations of non-GAAP measures to the closest GAAP equivalent. The press release is available on the IR section of our website. Joining me on today's call are Brian Krzanich, CEO of Cerence Inc., and Tony Rodriguez, CFO of Cerence Inc. Please note that slides with further context are available in the Investors section of our website. Now onto the call. Brian?
Brian Krzanich: Thank you, Jason. And good afternoon, everyone. And welcome to the Q1 2025 Cerence Inc. earnings call. I am really excited to speak with you today. While Tony will walk you through the details, I have the pleasure of sharing our great Q1 results with you first. Top line revenue of $50.9 million and adjusted EBITDA of $1.4 million both exceeded the high end of our guidance. And we had strong free cash flow of $7.9 million. On our last call, I shared that our fiscal year 2025 goals to return Cerence Inc. to profitability, a critical step to fuel the future growth.
Brian Krzanich: With our Q1 results, on a non-GAAP basis, we have moved towards profitability even earlier than we forecasted. I could not be more proud of what the team has accomplished and the great start this has given us for 2025. In addition, during Q1, we repurchased $27 million of our convertible notes due in June of 2025. As we have discussed in the past, our plan is to extinguish this debt through some combination of repurchases and financing. We will decide the best path forward taking into account shareholders' interest with a view towards driving long-term value. As many of you know, but those who are new to the call may not, Cerence AI delivers AI-powered multimodal and conversational agent experience for automotive and beyond. Partner with the world's leading automakers and transportation OEMs to create AI-powered assistance empowering them to deliver incredible user experiences to their drivers while also maintaining their unique brand and data ownership and keeping costs in line. In addition to our deep technical expertise and our exciting product roadmap, more on that in a moment, the world's leading automakers and tier-one suppliers love to work with Cerence Inc. because we are a neutral and highly specialized supplier. Living and breathing automotive and speaking the same language as our customers, unlike our competitors. With the ongoing challenges OEMs are facing, cost pressure, slowdown in EV and car sales, and an ever-changing geopolitical landscape, Cerence AI is uniquely positioned as the AI innovation partner who can help automakers deliver a premium while also navigating the impacts of a complex and rapidly changing industry. This quarter, the team has been laser-focused on our three key deliverables for 2025. First, continuing our work to bring Cerence XUI, our next-gen product based on our calm family of language models, to market. XUI's agentic multi-LOM architecture provides deep customization and enables compatibility with both new and existing entertainment systems, making it easier for automakers to deploy to both current and future vehicles. We reached several important milestones for XUI Gen 1 within the quarter, including delivering five proof of concepts and kicking off our first major customer program, further validating and solidifying our product and go-to-market strategy. And we have partnered with leading AI companies like Nvidia and Microsoft, empowering us with tools and resources to deliver improved performance and cost efficiency to our customers and their drivers. These AI leaders are eager to work with us given our position with global OEMs and install base. You will see more announcements in this space as we approach Nvidia's GTC in March and the Shanghai Auto Show in April. The XUI Gen 2, which we are demonstrating now and will be available to our customers by the end of 2025, will deliver a single conversational interface that works across both cloud and embedded applications to complete tasks based on user preferences, integrating all aspects of a user's interaction into a seamless conversational interface that extends beyond voice. Our future product vision is to enable the driver to get into the vehicle and put their phone down, using their in-car system to complete the tasks they would normally do on their phone. In this new agentic world, we can combine activities like navigation, phone calling, text messaging, and web search that even with your phone today would require multiple steps and switching between various apps. XUI brings the future of agentic and conversational AI to the vehicle and transforms the car into an assistant that saves you time and truly simplifies your ride. The second key deliverable for 2025 is continuing to grow our business with new and existing customers. In this first quarter of fiscal 2025, we secured six new design wins across our current product line and two new wins for our generative AI solution across large and global OEMs. We also saw the start of production for six major customer programs and two generative AI programs within the quarter, including a large trucking customer, a major cloud win back in China, and the renewal avatar program that includes our Gen AI solution. The third key deliverable for 2025 is continuing our transformation and cost management. You have already seen the benefits of this work in our Q1 top and bottom line results. And as I previously stated, we believe we should always be looking at how we can be more efficient from both a cost and operational perspective. For fiscal year 2025, we are focused on simplifying and streamlining our organization and our structure to continue taking cost and spending out of Cerence Inc. We can find more efficient and productive ways to accomplish the same task while also finding opportunities to vastly improve our speed to market and get exceptional products into the hands of our customers at a more rapid and competitive pace. Work is underway as we have continued to evaluate our office space, and legal entities kicked off a process to streamline and improve our relatively complex customer contract and continue to evaluate every rehire and new hire as we move forward. Looking forward to fiscal Q2 2025, we are issuing initial revenue guidance of $74 million to $77 million, with GAAP net income expected to be in the range of $1 million to $5 million and adjusted EBITDA in the range of $18 million to $22 million. Tony will provide further details on the second fiscal quarter in his remarks. This is my second earnings call as CEO of Cerence AI, and I and the rest of the team are proud and encouraged by the first quarter results. Cerence AI is bringing conversational AI and true agentic capabilities to the vehicle now, not just in the future. And we have an exciting roadmap ahead. With that, I will turn it over to Tony to go through the detail of our quarterly numbers, our guidance, and our restructuring activities. Tony?
Tony Rodriguez: Thank you, Brian. Today, I will be reviewing our Q1 results for fiscal year 2025 and providing some guidance for our second quarter. I will also comment on our progression toward full fiscal year 2025 guidance. Let's get into the Q1 operating statement. At the top, we achieved Q1 revenue of $50.9 million, which exceeded the high end of our guidance range of $47 million to $50 million. Our revenue this quarter was aided by $2 million in connected royalty true-ups from one of our OEM customers. As a reminder, this is normal as our customers self-report royalty volumes that approximate their auto shipments with our technology each quarter, periodically true up to actual. With this revenue achievement, our gross margin for the quarter of 65% also exceeded the high end of our guidance of 60%. Gross profit was also benefited from a greater mix of higher-margin license and connected service revenue as compared to professional services revenue. While our professional services revenue was lower than anticipated during the quarter, it performed at a higher gross margin than anticipated. Moving down the operating statement, our non-GAAP operating expenses were $34.1 million for Q1, compared to $44.4 million from the same quarter in fiscal year 2024. This decrease of $10.4 million or 23% represents a full quarter of savings from the restructuring efforts conducted at the end of last year. We also delayed some planned R&D hiring until Q2. Additionally, the company received notice of acceptance of an international tax credit that allowed us to record a $2.5 million operating cost benefit. The tax credit benefit recognized this quarter related to fiscal years 2021 through 2024 and was anticipated in our full-year guidance but later in the fiscal year. Our adjusted EBITDA of $1.4 million well exceeded our guidance of a loss in the range of $6.6 million to $9 million. This was driven by improved gross profit as well as decreased operating expenses, from continued effort of managing our ongoing operating cost and the previously discussed international tax credit of $2.5 million. As compared to the prior year, our Q1 revenue declined from $87.4 million, but this was driven by $86.6 million of non-cash revenue recorded in the last fiscal year associated with our legacy connected services contract that was decommissioned in Q1 of fiscal 2024. Our net loss for Q1 was $22.4 million compared to net income of $23.9 million for the same quarter in fiscal 2024. Again, the decline is driven by the decommissioned legacy contract. We ended the quarter with $110.5 million of cash and marketable securities, down $19.9 million compared to where we ended last fiscal year. The lower cash balance this quarter related to our repurchase of $27.4 million in principal value of our 2025 convertible notes, offset by our positive free cash flow during the quarter of $7.9 million. Our cash flow in Q1 absorbed approximately $8.9 million of cash restructuring costs associated with the transformation efforts of Q4 last year. We believe the good start to the year positions us well to achieve our full-year cash flow expectations. During the quarter, we recorded restructuring and other costs of $11.1 million, including a $10.2 million charge primarily related to our transfer, of which $3 million related to accelerated stock-based compensation associated with the termination of former senior management employees.
Tony Rodriguez: As we look at our revenue breakdown and operating metrics, license revenue of $22.7 million was up $1.9 million or 9.1% from the same quarter last year and slightly ahead of our expectations. As planned, there was no material fixed license revenue during the quarter. Q1 connected services revenue of $13.7 million was up $3.5 million or 34% from $10.2 million the same quarter last year when excluding the legacy roads. We believe this reflects a positive trend of increased demand for our connected vehicles. As planned, our professional service revenue was down year over year. However, the work performed was more profitable than a year ago. As we review our key performance indicators this quarter, total adjusted billings, which are defined as our total billings adjusted to exclude professional services, prepaid billings, and prepaid consumption, was $227 million, an increase of 3% for the trailing twelve-month period this year compared to the previous year. Total billings, including professional services for Q1, of $69 million were up 7% compared to $64.6 million for Q1 last year. As a reminder, when we look at our total licenses shipped, pro forma royalties is an operating metric we use representing the total value of variable licenses shipped in a quarter, including the shipments from fixed licenses, revenue was previously recognized upon contract signing. We refer to shipments where revenue was recognized in prior periods as fixed license consumption. Our pro forma royalties were $36.7 million, which were higher by approximately $1.4 million as compared to Q1 last year and in line with our expectation.
Tony Rodriguez: Consumption of previously fixed contracts totaled $14 million this quarter, lower than the same quarter last year by about 10% and lower than projected. Going forward, we anticipate a lower level of consumption of royalties associated with past license contracts. Our penetration of global auto production for the trailing twelve months declined by 2% to 51%. We shipped approximately 11 million cars with Cerence Inc. in Q1, up 2.6% compared to last quarter, but down 10.5% year over year. Q1 worldwide IHS production declined 1.2% compared to the same quarter last year and was up 10.8% quarter over quarter. Excluding China, worldwide car production was only up 2.8% quarter over quarter and down 4.8% versus the same quarter last year. This is important to note as this shows that part of our worldwide penetration decline relates to the increase in China production within worldwide auto production. And to date, we have not been significantly successful at selling to Chinese OEMs into the Chinese domestic market. Weaker production volumes among our top customers all contributed to our year-over-year total volume decline. That said, the number of cars produced that use our connected services increased 5.1% on a trailing twelve-month basis compared to the same metric a year ago and 5.6% compared to last quarter. This reflects the increased demand for connected vehicles. Now turning to our guidance. For Q2, we currently expect revenue to be in the range of $74 million to $77 million. This includes $20 million of projected fixed license revenue expected to be signed during the quarter. Additionally, our Q2 revenue guidance absorbs approximately $2 million of headwinds in professional services we saw in Q1.
Tony Rodriguez: We are not projecting any additional fixed license revenue for Q2. With the level of fixed license revenue forecast in Q2, we expect gross margin to improve to between 74% and 76%. Net income to be in the range of $1 million to $5 million and adjusted EBITDA to be in the range of $18 million to $22 million. When taken in the context of our full-year guidance, this means that the implied second-half guidance for adjusted EBITDA would be negative if you simply based your calculations off the midpoint of our range.
Tony Rodriguez: To be clear, this is not our intention to signal any change in direction of the business. Rather, it is still early in the year, and as mentioned, Q1 was aided by a few timing-related factors on the expense side that will catch up to us later in the year. With that said, we had a positive first quarter but are not yet prepared to officially revise our fiscal 2025 revenue, profitability, and cash flow guidance. The strong start to the year positions us very well and gives us confidence that our full-year numbers are likely to come in towards the top end of the range of our guidance that we gave last quarter, especially full-year adjusted EBITDA and free cash flow. When looking at our liquidity, as previously noted, we repurchased $27.4 million of outstanding 2025 convertible notes. As Brian mentioned, our plan is to extinguish the remaining $60 million of convertible notes due in June through some combination of payoff and financing. Between now and June, we will continue to evaluate potential capital structures that could position the company to execute our longer-term strategic direction while also allowing us to retain a cash reserve to be flexible as we move forward. Overall, we are pleased with the solid results for Q1 and our continued financial performance. I will now turn it back to Brian to close our remarks. Thanks, Tony.
Brian Krzanich: In closing, we are happy with our Q1 results and motivated by our Q2 forecast. We remain focused on execution, business process improvement, cost reduction, and advancing our next-gen roadmap. Now before we close, I want to take a moment to explain my philosophy on forecasting. We take our commitment to the streets seriously, and our goal is always to meet or beat our forecast. I have a firm policy not to change guidance after the first quarter. Our first quarter results and second quarter forecast give us confidence in our fiscal year 2025 forecast for revenue, and we are projecting to be in the upper end of the range for adjusted EBITDA and free cash flow. With regards to the recent tariff announcements, we do not believe that there will be a meaningful impact on Q2, as we are already halfway through the quarter and the recent tariffs were paused earlier this week. Now for the rest of the fiscal year, considering the number of changes that have occurred just in the last several weeks, we believe the situation is still incredibly fluid. It would be too speculative for us to say what, if any, impact there will be on our results at this time. We will provide an update on our next earnings call in May if there is a meaningful impact. We continue to believe in our ability to deliver on our Q2 and fiscal year 2025 guidance and in our growth for fiscal year 2026 and beyond. We look forward to continuing to share our progress with you. We will now open it up for questions.
Operator: Thank you. Ladies and gentlemen, if you have a question or comment at this time, please press your question has been answered and received with yourself from the queue, please press star one one again. We will pause for a moment while we compile our Q&A roster. Our first question comes from Nicholas Doyle with Needham and Company. Your line is open.
Nicholas Doyle: Yes. Thanks for taking my question. The design win and SOP commentary is really positive. So two questions there. How big can that first major customer program with Cerence XUI be? And second, how many units or any help around, you know, sizing the fixed SOPs that are expected to really start here, and how does that impact your PPUs going forward? Thanks.
Brian Krzanich: Sure. So, Nick, this is Brian. I would tell you that the first one is with the European auto manufacturer. If you look over the life of the contract, it is, you know, several million units. I think in the first year, it is roughly a million-ish, maybe slightly less. And we are seeing the PPU upgrades that we have talked about in the past. Tony is going to talk to you a little bit about PPU after I am done here because we really have a plan to start bringing PPU to you guys moving in starting in the next quarter. If you take a look at the rest of the POCs that we have going, it is with all of the major OEMs just about, in various levels of completion or start. And so, again, they could be for the XGen 1 that we are looking at right now. It could be multiple millions of units as we move forward. And we are seeing the PPU upgrade that we expect for this product. So, you know, there is interest and we are getting paid for the product loop break. This technology is really the beginning of the agentic connected vehicle model that we have. And it will continue in XGen 1 and then XGen 2 as well.
Nicholas Doyle: Thanks. And I got it. Yeah. Hi, Nick. Yeah. I mean, just bridging that on PPU. We have talked in the past on these calls that, you know, really need to simplify the model and get to a volumes times price model effectively. What we can say, we are not prepared to guide on PPU or effective PPU going forward at this point. By next quarter, we will. And we will be able to give you more of these volume questions and PPU questions. But what I can say is there are really two fronts to us growing our PPU, and I will comment a little bit about how we are kind of seeing that trajectory. But the two fronts are the number of connected cars, how many of our overall cars shipped are connected, and the second is the price in the, you know, with the additional features of these newer products on the connected side, you know, that increase in price and how it is driving our effective PPU. And again, at this point, though, I am not prepared to provide a number. I will say that our effective PPU is really thinking about our license revenue in a quarter for those cars shipped. So the revenue divided into those cars shipped. And then on the connected side, it is the volume of the connected vehicles times really or by into the billings. You know, because as we talked about before, those billings are then recognized over the subscription period. So we want to get to an effective PPU. What was the value of those cars shipped? What I have seen, you know, kind of precursor to next quarter is that we are seeing the benefits of those two fronts, increased number of connected cars and the increased price, impacting positively and growing that effective PPU number.
Nicholas Doyle: Really helpful. Thank you. And then second, billings is trending in the right direction. Can the conversion of some of what is in the pipeline today get you to the $290 million that you talked about? And then if I could just squeeze in, why take in all the fixed contracts this quarter? Thanks.
Tony Rodriguez: Yeah. Two things. Yeah. So the number that we have the company has historically given on is trailing twelve months billings. Right? And we quoted that to $227 million of trailing twelve months adjusted billings. And again, it is adjusted for not including billings related to professional services, and then gives up and down associated with previous fixed and current fixed. So that is a good number. We have talked about that, you know, billings this quarter will outpace our projected revenue. And again, our projected revenue, which we have not re-guided, is, you know, $236 million to $247 million. So again, the billing is outpacing that. I think we are on track to certainly do that. The second question was why do all the prepay now? Yeah. And really, it is just a combination, Nick, of customers and what we are able to negotiate. You have got to remember, the prepaid comes with a discount. In the past, that discount was often quite high. And by, a, shrinking the total footprint that we are going to do down to and, really, being more selective and making sure that it is with deep partners and right discounts, we are able to get this discount down to record levels. So it was really we had more demand than we had budgeted at $20 million, and we got the right discounts. And so we went ahead and administered it. That is why we always Tony and I always say, we really need to look at the full year. There is going to be lumpiness in our numbers quarter to quarter.
Tony Rodriguez: But it is just, you know, right customers, great discount, lower than we have almost ever achieved. And it is the right thing to do now. Yep. And lastly, the timing in these cases, these customers with those lower discounts and everything that Brian said are coming to a point where their previous fixed is now consuming, you know, down to a point where they want to re-up that prepayment, and it fits into their fiscal year as well, which starts April 1st. Or well, I am sorry, within this quarter. So they want to get it ahead of the next quarter. So I think all those things are why we would do it. It is not that we planned per se to do it. It is we are being opportunistic with that $20 million. Thank you.
Operator: Moment for our next question. Our next question comes from Mark Delaney with Goldman Sachs. Your line is open.
Mark Delaney: Yes, good afternoon. Thanks for taking the questions. Good to hear about the breadth of your customer engagement momentum with your Gen AI solutions. Hoping you can expand a bit more on that topic and maybe speak to the competitive landscape for digital assistance and any sense of how your market share may trend relative to what you have seen with your traditional products?
Brian Krzanich: Sure. So I would tell you the competitive landscape is, you know, really pretty much what it was last quarter as well. We continue to see some of the big players like Google and Amazon in there. We see some of the, I will call, software providers like ourselves. We see SoundHound and some of the others. And then we see some, I will call it DIY, where there are either SSC providers or some of the OEMs starting. Now what happens is they are biting off bits and pieces. And they are oftentimes being very prescriptive in some of the things, like, they must be connected or you are locked into certain LLMs. So our approach to that is always, hey, we are agnostic. We can use the latest and greatest LLMs. You can choose. We can customize. You can choose customized wake-up words. A good example was Renault's avatar, where we, you know, customize the wake-up word around Renault, which is their avatar name. Really customize the user experience. And that is really how we approach these. So and then we offer, you know, embedded capabilities that are quite strong. And as we move through this year, get even stronger, NextGen 2, and this is what Microsoft is really helping us with around the calm embedded LLM capability, shrinking the footprint, and getting, you know, two agentic LLM capabilities embedded in a car, which means you have to get a small footprint from memory, you know, the right-sizing the SOC and, you know, being able to get it capable and having the right latency. Those are all the things that we compete with. But otherwise, the kind of landscape has not really changed.
Mark Delaney: That is helpful context, Brian. You know, maybe too soon to try and quantify, but I mean the share of market, do you think it is similar to what you have seen before? Do you think you can maybe gain some share with all the traction you are seeing?
Brian Krzanich: Yeah. So, I mean, Tony tried to kind of walk you through. And, basically, if you look at the OEMs that we typically, you know, participate in, which are, let us call it, the western OEMs, our market share is relatively flat. And that is what we are seeing is, you know, China inside of China, which, you know, is, you know, taken away from our traditional OEMs. And our ability to progress into China in China has not been there yet, and we are continuing to look at options and ways to do that. I really believe our technology competes very well in that space. It is all about, you know, basically, you know, national winners that they are selecting that. Now China outside of China, we have good relationships and are in BYD and Zeekker and Great Wall. Leo. So we are in some of the Chinese outside of China. But if you look at the OEMs that we typically, the Western OEMs that we typically play in, our market share is relatively flat.
Mark Delaney: Got it. So one last one for me. Just on the restructuring actions, I think you did on the last call, you expected to be at the high end or maybe even somewhat above the $35 million to $40 million annualized target. Maybe update us on where that came in and I think you said it is all in place, exiting the fiscal first quarter, but just to clarify where you stand on cost action and if there is any more to come or it is all in place. Thank you.
Brian Krzanich: So I can start that. And Tony can answer in more detail. I think also, Mark, I may not have completely answered your first question. So I do think we will, in the OEMs that we play with, or that we participate with, we will gain share. Our target is to gain share. We saw a win back in China around the cloud. You know, we are continuing to drive, we believe, a leading-edge roadmap of product. So our goal is to continue to gain share in the guys that we typically play with. And then, you know, we are aggressively seeing what we can do inside of China. Now your question was cost reduction. Your second question was around cost reductions and cost improvements. I would tell you that what we have already forecasted for 2026 or, excuse me, for 2025 is already work that is for the most part already done. So you are seeing the results of it filtering through the cost system. So whether it is headcount reductions or site closures or site reductions, things like that are already filtering through as the year goes on. We do have a set of programs that I talked about that we are continuing to look at and drive. And if we take something like improving our contract and the efficiency within our finance unit, that is what Tony has ongoing right now. That work will probably take through at least halfway through this year and into probably the second half of next year. And you are really going to see the benefits of that one roll into 2026. And it is hard for us to forecast right now because if we look at things like reducing the number of legal entities or improving how we financially account for things and improving and streamlining that, we are still trying to figure out how do we account for how much the efforts and work does that remove from the system and spending. How many fewer tax returns do we have to do? How many filings do we not have to do? But most of those will roll into 2026 for additional cost reductions as we move forward.
Operator: Thanks. One moment for our next question. Next question comes from Colin Langan with Wells Fargo. Your line is open.
Colin Langan: Oh, great. Thanks for taking my questions. You mentioned you guided to the high end of the range. You said there were some factors in Q1 that were outliers. So can you just remind me what they are? Was it the $2 million of royalty true-ups and then the $2.5 million of tax credit, are those the items you are referring to that were kind of better than expected?
Tony Rodriguez: Yeah. Yeah. A couple of the one-time items. You know, we say one-time items, and I will talk through a couple of it. One is the true-ups. And you know, as we as our royalty reports come in, OEMs and tier ones report royalties, they report, and then they oftentimes will true up to actually report an estimated number and true up to actual. So in this case, there was a connected services contract and we did some work with an OEM and, you know, wanted to make sure we were capturing all of our activity and got $2 million of a true-up for past. So some of that was in quarter. Of that $2 million. So it is not it would have hit the quarter as well. So and then some of it is before the quarter. But if you even if you take that $2 million away, we were kind of smack dab in the middle of our guidance. This put us over the edge on guidance on the top line. The tax credit was something that was baked into our full-year expenses. We just happen to get confirmation of that credit in Q1, so we were able to record it for previous years, the years 2021 through 2024 in the first in Q1 where we had had that baked into a savings of OpEx for fiscal 2025, but not necessarily in Q1. So those were the two main items that drove, you know, improved profitability to the bottom line.
Colin Langan: And the tax credit is not a special was not treated as a special item?
Tony Rodriguez: I am sorry. Say that again?
Colin Langan: The tax credit was not a special adjustment, special item. Just to know.
Tony Rodriguez: Yeah. The tax credit was it is an OpEx credit. It is an international credit associated with offsetting R&D costs. And so, you know, previous years, we incurred the entire international for this international this country. We incur the cost for R&D without the savings of the credit. This was a catch-up for that country. And again, it, you know, the $2.5 million related to 2024 and before. So we will have some savings, you know, in 2025 as well the rest of the year for the 2025 expectations for that credit. But that was kind of the catch-up.
Colin Langan: And you mentioned on the closing commentary about tariff risk. I got a bit of a little surprised I kind of assume software would not have much risk. But where is your tariff exposure if there are tariffs? How should we be thinking about that if you could frame?
Brian Krzanich: Sure. It would just be in unit volume. So if, you know, the projections were at one point that if the tariffs were applied, it could affect 25% of the cars and, you know, multiple thousand dollar increases in cost. And so if people buy fewer cars, you know, that is when we had paid from a shipment standpoint. Right? So it would be purely volume. So we do not get, you know, we are a US company, and so at least right now with the talk of tariffs, it does not apply quote to our product. But it applies to the or would have applied potentially to our customers. And that is all we were.
Colin Langan: Gotcha. Yeah. Counting again. That makes sense. And as I said, right now, they have all been put on hold and we are halfway through the year, so we do not see it. Right now. You know, it is just it is just an impossible prediction.
Colin Langan: Just lastly, you talked about XUI. How quickly can this ramp? How quickly can adoption be? Because our contracts two to three years, or is this something that could be, you know, added and drive that, you know, pricing higher in the next year or two. Pretty quickly.
Brian Krzanich: Sure. So you have to remember that there are two versions of our agentic large language model software version that we think about. One is an embedded non-connecting version and the other one is a connected version. And the connected version gives you the ability to do things like, you know, hey, what was the latest score on the football game? Or, you know, who won La Liga this weekend? You know, it gives you real-time data also gives you points of interest that are updated and all of that kind of information. But it is not required to run the car, do navigate, those are all embedded efforts. Typically, the cars come from anywhere. Tony and I were talking about this this morning. From one to we have seen as long as ten-year contracts for connectivity. I would tell you that the majority of them are probably somewhere in that two to three years. At that point, the customer, the end user, the driver makes some agreement with the OEM, the manufacturer of the car. To continue connectivity. At some rate. We do not drive that. And we are just, you know, it is the early days of seeing what the re-sign up is. For people. So we do not really have a forecast for that. When we look at this, we look at just most cars are being connected as we ship them. What is that rate? And that is how we project through 2025 and all from that perspective. Because most of those cars are going to still be within the one-year to three-year terms.
Colin Langan: Got it. Alright. Thanks for taking my questions.
Operator: One moment for our next question. Our next question comes from Henry with Craig Hallum Capital Group. Your line is open.
Daniel Tempesta: Hey, Brian. Tony, this is Daniel on for Jeff. Maybe just sort of as an example of the sort of places where you are seeing momentum, if you could speak to that Chinese win back you mentioned. You just described that deal in a little bit more detail, what that payoff was like, how you won, why you won, etcetera.
Brian Krzanich: Sure. So that win was with the Western OEM's cloud infrastructure. And we won based on, again, the technology leadership that we provided and our willingness to be, you know, much more flexible and configure their cloud system exactly how they want it. So it was a win back, you know, that we have had. Yeah. Against a very strong competitor. Prior local competitor.
Daniel Tempesta: Okay. That is helpful. And then just on connected, you know, either for Brian or Tony, just on the metrics that we should be looking at, you know, a few different ways we could read this new connected. I guess, if you exclude the $2 million true-up this quarter, I guess, it is down sequentially. You know, it is up single digits year over year. The trailing twelve months car shipped, you know, it is growing 5%, but a little bit if you deceleration from last quarter. Just a bunch of different ways we could read that. How would you cutting through all that speak to the metrics? What is the most relevant? How should we be looking at the trajectory there?
Tony Rodriguez: Yeah. So I think there are a couple of ways to look at it as we think about our two fronts of growth. With regard to connected. Right? Is the number of connected cars, the connected rate. So for every car that ships out, how many of those are connected? And then two, what is that price per unit that we are seeing over both, you know, connected, is that growing? As we anticipate? And how is that contributing to overall PPU. So it is those two fronts. What I would say is that we are not ready to provide that guidance right now on connected rates and PPUs. But and then the second one is or the third one would be billings. Just remember too that, you know, we so if a car ships out, with a connected, you know, at that time, we are billing for two things. Is the embedded license, which drops to revenue right away. And then the connected, which then gets recognized over the future. That is why as the, you know, the first question was, hey, we are, you know, what is your billings? Are you on track for your billings this year? Which will outpace our GAAP revenue because the connected billings will be billed but not recognized until futures. So and we do not break our billings between licensed and connected. So there are components that if you are trying to model are missing and we are, you know, we know that it is important to you, it is important for us to know to be able to give you that information to help you model. But that is the really next quarter. But I think the way things you need to think about as we go forward are the connection rate, the price per unit on the connected side, the price per unit overall, the car shipped, and then lastly, the growing billings within connected.
Daniel Tempesta: And then just last for me, just a modeling question on the professional services COGS dipped below $10 million this quarter. I think first time we have ever seen that. And that has kind of been a little bit of a trajectory over the past year for those COGS have been going down. Is that sustainable? Is that structural? Is that one-time just sort of our expectations for PS COGS?
Tony Rodriguez: Yeah. So, yes. So PS is down as we have said. What I mentioned in the call is that our margin for PS is actually, you know, improved. You know, I think, you know, we typically plan that business, see that business as a 30% margin business, which brings down our overall margin. This quarter, it was north of that. Which was beneficial to us. So overall COGS were down because professional service revenue was down. But also, for what we did sell, we sold it at a higher margin. So as you think about modeling, we could probably model professional service margins at north of 30% now.
Daniel Tempesta: Okay. Thanks, Brian. Thanks, Tony.
Operator: One moment for our next question. Our next question comes from Jeff Osborne with TD Cowen. Your line is open.
Jeff Van Rhee: Hey. Thank you. Just two quick ones from my side. One, I think it was last quarter you gave some usage stats on the Gen AI platform. I want to say it was maybe June, July that your first customer in Europe pushed that update into the install base. Is there any metrics you can share about usage of the newer platform conversational AI? Non-AI solutions.
Brian Krzanich: Yeah. I do not have any, Jeff, any new metrics. I tell you we are continuing to see increased usage. Just if you look at our cloud traffic, that as the generative AI connected vehicles go out, we are continuing to see our cloud usage increase as well. But I do not have any new numbers for you from that perspective. But it is getting worse.
Jeff Van Rhee: Was not sure if there is, like, a halo effect in particular as you had an install base of, I think, it was the ID threes and fours, if my memory is right. That, you know, new users were using it for a month or two and then that tapered off. But does not sound like that is the case. Is that right?
Brian Krzanich: That is not what we are observing yet. No. We are continuing to see effects. One of the biggest things we work on is really helping end users understand just what the car is capable of doing. So what we are finding is as users see all they can do with voice in their car with these connected cars with the Gen AI, they are using it more and more.
Jeff Van Rhee: That is great to hear. My last question is just as we approach the June deadline for the debt, remind us, is there a minimum cash balance that you feel comfortable having? Obviously, you have got a nice EBITDA guidance here for Q2. I assume you generate nice free cash flow, but as you think about paying off the remaining tranche, how we think about the options and then what the minimum cash balance you feel comfortable having?
Tony Rodriguez: Yeah. We do not have a minimum per se. That said, we are very comfortable with paying it. If we pay it off and do not refinance any, you know, we will likely be north of, you know, $70 million at the lowest point. So, you know, is that the exact right number? That is what we are looking at as far as overall capital structure to see, you know, where we want to be. But we are comfortable that if we need to, we can continue to grow the cash flow of the business and grow from a lower point of $70 million of cash after the payoff to, you know, to where that optimal amount is. Got it. That is all I had. Thank you.
Operator: And I am not showing any further questions at this time. I would like to turn the call back over to Brian for any remarks.
Brian Krzanich: Okay. I would just like to, you know, reiterate. We are really proud of our Q1 results. You saw our forecast for Q2. And we have also said that for the full year, we are comfortable in saying we will be in the upper end of our guidance for both free cash flow and adjusted EBITDA. We are really driving hard as we enter Q2 into, you know, continuing to push our generative AI development work and doing our POCs at the customers. And we look forward to talking to you in May to give you an update and the progress on all of those. And with that, I would just like to close the call with a thank you very much and I look forward to talking to you all in May.
Operator: Thank you, ladies and gentlemen. This does conclude today's presentation. You may now disconnect, and have a wonderful day.